Operator: Thank you for standing by, and welcome to Onex Corporation's First Quarter 2025 Earnings Results. At this time all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Jill Homenuk, Shareholder Relations and Communications. Please go ahead.
Jill Homenuk: Thank you. Good morning, everyone, and thanks for joining us. We're broadcasting this call on our website. Hosting the call today are Bobby Le Blanc, Onex's Chief Executive Officer; and Chris Govan, our Chief Financial Officer. Earlier this morning, we issued our first quarter 2025 press release, MD&A and consolidated financial statements, which are available on the Shareholders section of our website and have also been filed on SEDAR. A supplemental information package is also on our website. As a reminder, all references to dollar amounts on this call are in U.S., unless otherwise stated. I must also point everyone to our webcast presentation for our usual disclaimer and cautionary factors relating to any forward-looking statements contained in today's presentation and remarks. With that, I'll now turn the call over to Bobby.
Bobby Le Blanc: Good morning everyone. Onex had a solid start to the year and our teams are proactively navigating the challenges of the current environment. The work done last year to streamline operations and double down on our core strengths is allowing us to remain focused on long-term value creation plans. We are committed to executing on our strategy and taking targeted actions to generate shareholder value. First, I want to welcome Bob Shanfield to the Onex Board. At our Annual General Meeting yesterday, our shareholders appointed Bob as our newest director. He is a highly skilled investor and business leader with over 30 years of experience in the private equity industry via his tenures at Landmark Partners and GE Capital. Now a few words in the current environment. Our PE teams are actively working with our operating companies to anticipate and mitigate tariff concerns. With the benefit of our portfolio's diversification and orientation, namely a large majority of our businesses are service-oriented or have minimal reliance on imported and exported goods. We generally have limited exposure to first order tariff disruptions. As with most organizations, our primary consideration is around potential second and third order impacts, including near-term lower GDP growth, supply chain disruptions and muted M&A activity. How deep and how long these impacts may persist will depend in part on the ongoing tariff negotiations and their impact on business and consumer confidence. The M&A environment has definitely slowed over the past two months. Times of uncertainty tend to cause sale processes to slow down or to get put on pause. While the private equity industry is still highly focused on returning capital to LPs, it has become more difficult over the past few months. With that said, we are currently pursuing several realizations at both OP and ONCAP. And we are also open to partial realizations and additional continuation vehicles. Earlier this morning, we announced a 25% sale of our equity investment in WestJet to prominent global airlines Delta, Korean Air and Air France KLM. The transaction will help strengthen established industry partnerships and is a strong, positive statement on WestJet’s strategy, performance and ability to continue to grow. With the proceeds, Onex and our affiliated funds and partners will have fully realized our original cost, while still owning 75% of our shares. The transaction was completed at more than a 25% premium to our current WestJet NAV. This is a significant achievement that speaks to our team's ability to deliver positive realizations for high-quality assets in all market conditions. Turning now to fundraising, two milestones were achieved in Q1. As we mentioned in our last earnings call, Onex Partners closed on its Opportunities Fund, raising total commitments of $1.2 billion, which exceeded the initial target. The fund has a two-year investing period and has already completed its first two investments, which puts us at over 30% deployed. At the end of the quarter, we also announced a successful final closing for ONCAP V with $1.3 billion in total commitments. ONCAP V achieved several key objectives relative to its prior fund, including growing total commitments, increasing third-party capital by 54% and adding many new investors to the platform. The fund is approximately 50% deployed, having already completed live investments to date. Both achievements were completed in a challenging fundraising environment. Our PE, and Client and Product Solutions teams are to be commended on reaching these goals. Our Credit team delivered another strong quarter, maximizing opportunities and continuing to differentiate themselves amongst peers. We have executed 10 CLO transactions so far this year, including five new issues that will raise $2.5 billion of new fee-generating AUM. Reset transactions in Q1 extended another $1.8 billion of fee-generating AUM. Over the last year, the team has been actively managing the portfolio to a more defensive position given the potential market slowdown. Overall, our focus remains centered on compounding NAV, increasing fee-related earnings and carried interest across our platforms, and leveraging our strong balance sheet to create future growth and related shareholder value. This includes returning more capital to shareholders via share buybacks, particularly given our large discount to NAV relative to any reasonable historic norm. Our teams are confident in our core areas of strength that have created shareholder value over a long period of time. Now I'll turn it over to Chris.
Chris Govan: Thanks, Bobby, and good morning, everyone. Onex ended Q1 with investing capital per share of $116.97, up 3% from year-end and 9% over the past year. In Canadian dollars, Onex's investing capital has generated 3% and 16% returns over those same periods. These returns were driven by investing gains from private equity and credit as well as accretive share repurchases. We repurchased a total of 1.4 million shares in Q1. And in April, we renewed the normal course issuer bid for another year. The renewal will allow us to continue to make opportunistic share repurchases of up to 10% of the public float over the next 12 months. Our buybacks in the first quarter at value substantially below NAV allowed us to capture almost C$90 million of that NAV for continuing shareholders. And the recent market volatility has provided an opportunity to repurchase our shares at even more attractive prices with almost 800,000 additional shares purchased in April at an average cost of about C$93. We expect to continue to be active buyers so long as the value disconnect persists. Now looking at our investing returns. Our PE portfolio returned 2% in the quarter, largely driven by our holdings in the financials and consumer sectors. These returns are relative to an essentially flat return from the MSCI World MidCap Index in the quarter. Since Q1, financial markets have come under pressure in response to developments in the global trade environment. While the market volatility may directly impact our publicly-traded investments, which are about 9% of our PE portfolio, our private marks are not likely to be as affected. As you know, we utilize a mix of valuation approaches for our private companies with our multiple-based approaches being more directly impacted by market movements and our DCF-based approaches typically being less correlated with the public markets. Additionally, as Bobby mentioned, the service-based bias of our portfolio has us relatively insulated from the first order impacts of the recent global trade developments. But we remain focused on monitoring and managing the potential second and third order impacts. Additionally, we thought it would be helpful to provide an update on leverage in our PE portfolio. Overall, credit markets have stabilized and generally remain open and functioning well, albeit with lower volumes due to the slowdown in M&A. As you might imagine, we’re continuously monitoring the financings within our companies and taking advantage of debt markets to amend and extend facilities when available, rather than being reliant on the markets being open when we need them. As a result, we have no significant refinancing needs across the PE portfolio until 2027. We have also generally used less leverage than the industry average, roughly two turns less, which positions us to better manage through any downturns in the broader economy. Turning to credit results. Our credit investments delivered an $11 million net gain or a 1% return in Q1. This was driven by our structured credit strategies, including some favorable foreign exchange on our euro CLOs, reversing a portion of the FX headwind we experienced in Q4. On the Asset Management side of the business, Onex ended the quarter with $37 billion of fee-generating AUM. The 5% increase in the quarter reflects new commitments made to ONCAP V and the Onex Partners Opportunity Fund, together with the issuance of new CLOs. In total, we raised approximately $2.5 billion of FGAUM in Q1 across our PE and credit platforms. Looking at credit more closely. The team has raised or extended approximately $5.3 billion of fee-generating AUM so far this year across its tactical allocation and structured credit strategies. As Bobby discussed, our structured credit business has continued to be active after a banner year in 2024. Current market conditions are expected to slow U.S. and European CLO activity in the near-term. However, the team worked hard to reset many CLOs over the past couple of years, resulting in nearly 95% of our CLO AUM at quarter-end being in its reinvestment period, and with the weighted average reinvestment period running into late 2028. These efforts mean we can wait out the markets or existing CLOs. And as it relates to new issuances, Onex’s balance sheet will be a competitive advantage, allowing us to opportunistically issue new CLOs when we see an attractive opportunity arise from the uncertainty in the underlying market. Bridging the equity in the CLO and selling it down in a more stable market is likely to produce attractive returns for Onex's capital and support continued growth at Onex Credit. Turning to Asset Management results. The Asset Management segment generated $25 million of earnings in Q1, of which $11 million was fee-related earnings from the PE and Credit platforms. After factoring in Onex Corporation's costs associated with managing its invested capital and maintaining the public company, total FRE was $2 million in the quarter. Improved quarter-over-quarter performance reflects increased fees, primarily from PE, including catch-up fees from ONCAP V. Also benefited from the continued impact of cost management initiatives. While this quarter includes about $5 million of catch-up fees for PE, our run rate asset management FRE is in line with the Q1 results, primarily due to the tailwind of fees from recently raised CLOs. FRE from structured credit, which we began to break out separately last quarter, was unchanged to $12 million in Q1. Management fees from new CLOs coming online, structured credits annual run rate FRE contribution is about $53 million, up about 5% from year-end. In summary, we had a good start to the year, and our 40 years of investing experience makes me confident in our ability to navigate the challenges we've seen in the market since early April. With a diverse portfolio of investments, financial strength and flexibility and a dedicated team, we remain focused on compounding our investing capital, growing our FRE and returning capital to shareholders and partners. That concludes the prepared remarks. We'll now be happy to take any questions.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Nik Priebe from CIBC Capital Markets. Your question please.
Nik Priebe: Yes. Thanks. So my sense is that there’s a bit of confusion around the implied return of the WestJet transaction. So I just wanted to run through the math really quickly here. The initial equity investment by the Onex group was $1 billion. The equity valuation implied by the sale of a minority interest is $2.2 billion. So that’s a 2.1x multiple of capital, if you will. And then in addition, since the time of acquisition, WestJet paid cumulative distributions that amount to half of the upfront equity investment. That’s another 0.5x MOC. So if you had sold 100%, the total realized MOC would be $2.6 billion. So in other words, you’ve recovered the entirety of your upfront equity investment, the realized MOC is 1x and there’s another $1.6 billion that is unrealized. Do I have all of that correct?
Bobby Le Blanc: Nik, it’s Bobby. I anticipated a bunch of WestJet questions today. So we have a special guest on today’s call, Tawfiq Popatia, and he’ll answer that question for you.
Tawfiq Popatia: Yes. Hi there it’s Tawfiq. You started with prefacing that question with confusion. There was actually no confusion in how you weighed that out. That’s exactly right.
Nik Priebe: Okay. Perfect. That’s clear. I guess just longer-term strategy with the remaining interest, my understanding is foreign ownership restrictions would place limitations on global airlines taking a control position. So how do you see that playing out over time? Like is an IPO is still the most likely outcome?
Tawfiq Popatia: It’s a big investment. So just on size alone, you’d say it likely needs to be in the capital markets at some point. We are at the cap for strategic foreign investors, though our total foreign ownership wouldn’t be out of whack if you were to compare it to, say, Air Canada, for example. We think this is a pretty good endorsement of the strategy, the performance through COVID. So the way we think about it, it just increases the optionality for whatever path we take. But I think given its size, I think it's natural to think about this as ultimately one day being reintroduced to the public markets.
Nik Priebe: Got it. Okay. And then just last one for me. I think you mentioned that the transaction was announced at a 25% premium to WestJet's carrying value in the NAV. I just wanted to confirm that that's been marked up now, and that would be reflected in your Q1 now?
Tawfiq Popatia: No. It's not.
Bobby Le Blanc: Sorry, go ahead, Tawfiq.
Tawfiq Popatia: It's not yet reflected. And look, we're working with three potential buyers across different time zones that have their own – their listed companies and they have their own jurisdictional consideration. So all of this will be disclosed in time. I think the way Bobby framed it that it's more than a 25% premium is correct, and it will be disclosed in, I think, Chris, next quarter. It's not – this transaction is not reflected in the Q1 report.
Nik Priebe: Got it. Okay, that's very helpful. All right. That's it for me. I'll pass the line. Thank you.
Operator: Thank you. And our next question comes from the line of Graham Ryding from TD Securities. Your question, please.
Graham Ryding: Hi, Chris. I appreciate the commentary around leverage of your portfolio – private equity portfolio on average. You said it was two times less. What is the industry average leverage in sort of your sort of verticals? Are we thinking like five, six times or higher than that?
Bobby Le Blanc: No. Yes. So Nik [ph], the industry average is closer to 6.5 to 7, and we're two turns less than that.
Graham Ryding: Okay. Okay. That's helpful. The fundraising, I think I came on the call late, I apologize. If I missed it, I apologize. But could you break down the $2.5 billion in the quarter across your Private Equity mandates and Credit for the fundraising?
Chris Govan: Yes. Sorry, Graham, just pulling that up in front of me. Just give me a second here.
Graham Ryding: And then maybe a follow-on on that is just how much have you raised in Q2 to date that's sort of incremental to your fee-paying AUM?
Chris Govan: Yes. So within Q1 – I just got to sure I get this right, sorry, the increase in private equity AUM was about $375 million, with the balance coming from structured credit and tactical allocation strategies within Credit. I don't have an updated number for post Q1. I don't think there's any material change in Private Equity, but there may be a CLO that's been priced or closed. Bobby, did you...
Bobby Le Blanc: Yes, we had done 7 CLO transactions, I believe, three new and four extensions as of Q1, and that number is up to 10. So incrementally in the first month of Q2, there would be more Credit AUM raised.
Graham Ryding: Yes, just because I think you gave a five – over $5 billion number of new and existing CLOs. I was just wondering what was new there and what had been extended. That's okay. I can follow up on that one. On the WestJet piece, what is your ownership, Onex Corp., what is your ownership stake now going forward? I think you were at 28%, if my math is correct, and I'm estimating 21% going forward. Does that sound right?
Bobby Le Blanc: Sorry, Chris. Go ahead. Yes.
Chris Govan: No, I'd just say, yes, it would be three quarters of what it was prior. There's no difference between how Onex participated in our co-investors and fund investors.
Graham Ryding: And then on the Private Equity side, it was positive this quarter, but you did flag that there was some catch-up fees for ONCAP. If we adjust for that, suggests breakeven. Is that a reasonable sort of run rate to expect going forward breakeven for Private Equity?
Chris Govan: Yes, that's right. And the offset to that onetime or catch-up fees in Private Equity coming out, is an expected – or not expected, it's sort of locked and loaded, if you will, increase in fees from Credit. So we sort of think of run rate going into Q2 for total FRE being consistent with absolute Q1 FRE.
Graham Ryding: Okay, great. That’s it for me. Thank you.
Chris Govan: Thank you.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Bobby Le Blanc for any further remarks.
Bobby Le Blanc: Thanks, everybody, for participating. If you have any questions, feel free to call Chris or me, or Jill and our IR department. And I hope you have a nice weekend. Thanks.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.